Operator: Good day, everyone, and welcome to the Copart, Inc. Q2 Fiscal 2013 Earnings Call. As a reminder, today's call is being recorded. For opening remarks and introductions, I'd like to turn the call over to Mr. Jay Adair, Chief Executive Officer of Copart, Inc. Please go ahead, sir.
A. Jayson Adair: Thank you, Melissa. Well, good morning, everyone, and welcome to the second quarter earnings call for Copart. I'm going to turn it over to Will Frank, our CFO, for opening remarks. He'll pass it back to me and then we'll open it up for questions. Will?
William E. Franklin: All right. Thank you, Jay, and good morning, everyone. Before we begin, I'd like to make the following comments. I'd like to remind everyone on the call that our remarks will contain forward-looking statements, including statements concerning our views of trends in our business. These statements are neither promises nor guarantees and are subject to certain risks and uncertainties that could cause final results to differ substantially from those projected or implied by our statements and comments. The company expressly disclaims any obligation to update to revise these statement and comments. For a more complete discussion of the risks that could affect our business, please review the management discussion and analysis and the risk factors contained in our 10-K, 10-Q and other SEC filings. With that, I will now begin our comments on the quarter, and I'd like to go over some of the financial results, as well as make some comments on our recent acquisitions. During the quarter, we announced the expansion of our business into Brazil with the acquisition of Central de Leiloe. This includes 5 locations in the Sao Paulo area. The Brazilian salvage and insurance markets are structured very similar to the United States, in that the insurance companies settle with their policyholders, gain possession of the damaged asset and then have a need to monetize that asset. In Brazil, the settlement process between the insurance companies and the policyholders takes far longer than in the United States. Consequently, the ability to store cars is even more important. In addition to providing storage, we have found that the insurance companies in Brazil are looking for the same value from their salvage provider as those of the United States, namely: Quick pick up, cars left at the repair shop incur storage fees and tend to lose parts. They want their assets protected from both theft and weather. Transparency. They want to know at every step of the process the location, status, condition of the car and the title work. Analytics. They want sufficient information to make the right salvage decision, to make sure they salvage the cars that should be salvaged and repair the cars that should be repaired. They want data about the settlement and salvage process, days in yard, returns by make, model and years, adjusted performance and many other metrics. They want a collusion-free process. They want to know that they are selling the car for its true value, unfettered by buyer or seller collusion. And finally, the returns. The insurance companies want to give their car to the company that can sell it for the most money. These are exactly the values we provide the insurance industry in the United States. We expect to compete and to expand our market share based on our ability to provide these values, and because we have the capital to support expansion. We chose the Brazilian market for our first emerging-market expansion, not only because of our ability to provide value to the insurance customer but also because of its dynamic growth. We measure growth potential in a market not by the growth in part but by the growth in the auto insurance premiums, which have been growing between 15% and 25% a year as the emerging middle class gains the ability to finance and purchase a car. While we are excited about the opportunity in Brazil, we do not expect an immediate material contribution to our EBIT. Much like our entry into the U.K., it takes time to reintroduce our systems and processes and to gain the scale needed to move the market. In the U.K., it took nearly 3 years work to be a meaningful contributor to our financial performance. We expect similar maturation process of our Brazilian business. Also in the quarter, we announced the acquisition in Germany of Wreck Online Marketing or WOM. This is an online selling platform for salvaged cars. The insurance market in Germany is structured differently from the United States. In that market, the insurance companies pay the policyholder for the difference between the pre-accident value and the post-accident value of the car. The insurance companies generally assist the policyholder with the disposition of the car but are not responsible for it. In this scenario, our ability to pick up, protect and store the car does not provide a value to the insurance companies. Nevertheless, the ability to obtain higher returns for the auction car does, as higher auction proceeds reduce the payout to the policyholder. We believe that the ultimate introduction of our technology and buyer base will increase the returns yielded by WOM and increase its competitiveness in the market. We also believe that the Copart model, the model of which the insurance company is responsible for the disposition of the salvaged car, is the preferred model from the policyholder's perspective. And ultimately, market competition will drive insurance companies to adopt that model. We intend to contribute to that process. Our revenue for the quarter was $266.2 million compared to $227.9 million for the same quarter last year, an increase of 16.8%. The growth in revenue was driven by both increased volume and increase revenue per car. In North America, we grew 9.2% in volume. We estimate that approximately 3/4 of that growth came from incremental Sandy cars. The balance came from growth in market share. We estimate incremental volume from Sandy to be over 50,000 cars, and we sold through less than half during the current quarter. Most of the remainder of the Sandy cars will be sold in our third fiscal quarter. In North America, non-insurance volume declined slightly as the hurricane had a negative impact on normal used car trading activity in the northeast region, which is an important region for our non-salvage business. We also saw an increase in revenue per transaction, as gross proceeds per car increased both year-over and sequentially, consistent with trends in used car and commodity pricing. Internationally, our growth was driven by volume and came primarily from our acquisition in Brazil, as the U.K. market remained relatively flat. Revenue per car was down slightly, as cars from Brazil command a lower yield. The purchased car sales increase was primarily due to supply mix in the U.K., as purchased car volume grew to 33% of total volume as compared to 29% in the same quarter last year. Unit same store sales in North America, excluding the incremental Sandy units, was 2% and was negatively impacted by the disruption in non-insurance car sales in the northeast, as well as the general impact Sandy had on driving activity in the surrounding areas. Internationally, unit same store sales were flat. Hurricane Sandy required us to incur abnormal costs to process the additional volume. In addition to the normal cost to process the additional Sandy volume, we estimate that we incurred an additional $20 million in abnormal costs. These incremental costs obviously comprise the majority of our $30.1 million increase in yard operations expense. The balance of the increase was driven by non-Sandy volume growth as the average cost to process a car, absent the increase, the incremental cost from Sandy actually declined. This is consistent with expectations, as our fixed cost structure generally yields a more efficient operating cost per unit at higher volumes. General and administrative costs grew by $6.7 million over the same quarter last year. There are 3 primary drivers for the increase. The first is the expanded administrative infrastructure required by international operations, which resulted in an increase of $1 million. The second is a $4 million increase in technology and development cost, as we expanded our resources to develop new products, like the new mobile app and the support expanded operations throughout the world. Also included in the $4 million increase are the incremental costs associated with the rollout of our new ERP system, which we have previously discussed and which will allow us to operate worldwide on a common platform and to provide scalability and functionality that we currently don't have. It now also includes the outsourcing of our technology infrastructure and internal support. This means that, in general, our enterprise computers, servers and routers and also the helpdesk for our internal users will be provided by others. Outsourcing this technology and function will also provide scalability and functionality we currently do not have and ultimately, reduce cost. We expect to incur incremental costs associated with these projects to continue throughout fiscal 2013 and into 2014. These costs will fluctuate from period-to-period depending on the phase of the rollout. During our second quarter, these incremental costs were $1.8 million. In addition to the incremental costs associated with the outsourcing of technology and functions, we have accelerated the depreciation of our data centers in Reno and Las Vegas in anticipation of their expected shutdown in fiscal 2014. This acceleration resulted in an increase of depreciation of $2 million in the quarter and will continue until the second quarter of 2014. Finally, during the quarter, we incurred $1.4 million increase in marketing expenses, much of it associated with the design of new auction products. We ended the quarter with over $49 million in cash. Accounts receivable, inventory and vehicle pooling costs increased on a sequential basis as we grew inventory. During the quarter, we consumed $22 million of operating cash flows, as we funded the large growth in inventory and accounts receivable associated with Sandy, and we made 2 estimated tax payments. We expended over $57 million for our expansion into Brazil and Germany and other capital expenditures. Included was almost $12 million to buy out 2 leases. We currently own over 76% of the land on which we operate. We have purchase options for most of the leases we do not own and intend to exercise those options when it makes economic sense. During the quarter, we had no open market share repurchases. We have almost $48 million -- 40 million shares remaining on our current repurchase authorization. That concludes my comments. I'll now turn the call back over to Jay Adair, our CEO, for further comments. Thank you. Jay?
A. Jayson Adair: Thanks, Will. Great update. There was a lot of information there. So what I've done on my portion of the call is I'm going to basically focus on Sandy, and I'll give you an update on mobile and just quickly comment on the REIT that you've heard about recently. So in the last call, I informed you that at the 21-day mark, the Sandy-affected yards had received over 50,000 assignments. That experience of handling Hurricane Sandy, which basically was all of November, December and January for us, so we had 3 full months of handling Sandy and cars affected from the hurricane, it was huge. We ended up with over 15 temporary locations to store vehicles, over 350 additional acres that we have to bring in, over 500 subhaulers, so I won't get into all the details because I think everyone's pretty familiar with just how much went on. The important part of this is that we did a great job in handling the capital. We also learned a lot about how to handle future catastrophes. This is very different than Katrina, because the storm waters came in and receded so quickly, as opposed to a cat that's either not of the scale or a catastrophe that takes much longer for the waters to clear and for the claims to come in. This is one of those catastrophes that happened so quickly. What we've seen so far in the vehicles that we've sold in the quarter and the vehicles that we've sold in February are a couple of things. One, we've got higher returns as Will talked about, but we're seeing higher returns on the Sandy-affected cars. The second thing that I think is a big deal is we've been first to market on those vehicles. So when you're setting up a bunch of sublots, without our virtual auction technology, without VB2 and that ability, you've got to wait till you got enough vehicles and then you've got to set up auctions where you physically would have an auctioneer come in and people show up. Because of our virtual technology, we've been able to hold auctions Monday, Tuesday, Wednesday, Thursday, Friday in New York. This is an auction that typically is on Wednesday, and instead of waiting for auctions to be every Wednesday, we've been able to hold auctions Monday through Friday and we've done that right out the gate as soon as we got cars. Because we're a virtual company, we don't have the restriction of trying to deal with setting up areas for people to come for a lot of auction. We're able to rather just set it all up virtually and hold those auctions right out the gate. And you want to be first to market with the product. That's -- a, that's going to allow -- there's an interest in those vehicles, there's a demand for those vehicles, that's going to allow higher returns for those initial vehicles that come to market. The second thing is our clients want those vehicles sold. They want to close the claims and they want to shrink that cycle time as much as possible. And so that's been the case. As Will stated, we anticipate that the majority of the vehicles that are left over from Hurricane Sandy will be sold in the quarter we're in now that ends April. So that's the update on Sandy. There may be some questions regarding the hurricane, we'll try that answer those. With respect to the REIT, it recently became public that Jana Partners, incidentally, it's a firm managed by Barry Rosenstein, and who was a director with Copart from September 2007 through December 2009, bought shares of Copart and recommended in an investor letter that potential value could be achieved for Copart to convert to a REIT. We are currently investigating this option internally but have no comment at this time, and we will not answer any questions on the subject on today's call. So I just want to make sure that, that's clear. Last point, I want to talk to you about mobile. We launched our mobile app at the end of the quarter and we're really excited with the results, and so I wanted to share some of those with you. In the first 2 weeks of launching the mobile app, we downloaded over -- or our customers downloaded over 30,000 applications or 30,000 versions of the app. Out of that, and a lot of you downloaded apps on your droid or your iPhone before and you'll check out the app and you immediately delete the app and you think, "Why did I even bother?" That has been the exact opposite case for us. So out of the first 2 weeks, as I said, over 30,000, we're now well into 1 month of it, so out of total, more than 30,000, but out of the total number of apps that have been downloaded, over 90% of our users continue to use the mobile app on a daily basis, which is a really big deal. It just shows the stickiness of the product and again, the desire for the product. We were the first in the industry to have an iPad app that allows you to join and attend live auctions. So we're excited about that because it's an iPad and an iPhone app that we've launched with the virtual auction technology. You can go in and you can watch the auctions. And this was something that we couldn't do before. So not only did we not have mobile, a product that will allow you to do that. But if you came to our website and you clicked on an auction, we required that you become a member. And now that is not the case. So you can come in, everybody on the call today can download the iPhone app or the iPad app and start watching the auctions immediately. And that's really bumped to our attendance. I'll talk about that in a minute. But another statistic that I think is very powerful, over 10% of auction attendance is now from our mobile app. Over 10%. This an app that's been out literally less than 2 months. This is -- those are, to me, just incredible, incredible numbers. And new member registration is up 10% since the launch of the mobile app. Again, another very big statistic. Talking about total participation. Looking at Q2, 2012 versus Q2 2013, total participation, meaning the total number of participants in our auctions, is up year-over-year of 30%. So we're seeing some really big improvements there and this is really first generation for the app. I was asked -- I said this recently, I was asked back in the late '90s at a conference, "How big can the Internet become in Copart's life? How big -- how many cars do you think could sell online?" At the time, we were 2% or 3%. I remember thinking, we may get to 10%, not knowing that we would eventually go 100% Internet. That's how I feel about the mobile application. The mobile app is really going to be a user experience change for us. Obviously, it's mobile, that's great, but the ability to flip through multiple auctions -- and we're going to be coming out with some releases in the future that will really make that easy. And so, it's exciting stuff, I want to share those numbers with you. And I'd be happy at this time, Melissa, to open it up for questions.
Operator: [Operator Instructions] And our first question will come from Robert Labick with CJS Securities.
Robert Labick - CJS Securities, Inc.: Thanks for that new color on the international sales, I wanted to stick with that, first. Is there any chance you can give us a sense of the total revenues from the 3 new international markets that you've put in there? And then just, also, I would like to know, can you outline your next steps? Are you going to be buying land in each of these? And how long might that take and what's the process to build up these markets over the next few years?
A. Jayson Adair: You want to comment on the financial?
William E. Franklin: Yes. I mean, it's not a meaningful amount at this point, Bob. I mean, Germany is Internet revenue. It's a -- compared to -- the amount per transaction is very small. And Brazil is still growing. So it's just not a meaningful amount. I don't know if we'll break that out at this point on a per country basis.
A. Jayson Adair: Yes, and I'll comment on the process. So we have acquired some land as Will stated on the call. And I think it's pretty clear to everybody, our preference is to own the facilities. We think that they are critical to the operation of the company because of the zoning, et cetera. But it doesn't mean that we'll only buy, there'll be opportunities when we may lease with an option to purchase down the road. So we will be doing that in these markets, continuing that. This is really, right now, a technology play for us. We've got to get -- and we talked a little bit about it in Will's opening remarks, we've got to get Overdrive completed. And Project Overdrive, as we talked about, we're at halftime for Overdrive. It's a 3-year process. We've got 18 months left basically for Overdrive to quit. And in the process of doing that, we've come out with a mobile app and we've upgraded a number of systems in the company. But one of them is the operating system that we've got for our locations. So we've got a great operating system but it's not localized. And so it -- key is that it speaks 3 languages: English, Canadian and American. And we need a system that will be localized for the different markets like Portuguese in Brazil. So when that system comes out, then we'll be integrating those facilities, and that will bring our auction technology, our reporting and everything else that Will talked about in his comments that our clients want. That will bring that tech and those needs to those markets. And that will speed up the process. So we've made those acquisitions, as Will said, it's really a similar play to the U.K. It took us about 1 year to integrate the U.K. when we first stepped into that market and so, now we're talking about new technology that has be installed, and then converting hearts and minds of customers over to seeing these benefits and basically making changes.
Robert Labick - CJS Securities, Inc.: Okay, great. That's very helpful. And then switching gears back to North America. Obviously, Sandy disrupted a lot in the quarter, but can you give us -- you still have very strong volumes even with disruptions, any sense of the kind of tailwinds this year, or from the lack of winter last year, or where you expect industry volumes to be going?
A. Jayson Adair: Yes, the volume seem higher. It seems it may be weather-related. Our experience, whether it's a major earthquake, whether it's a hurricane event, our experience is that it slows volumes down because it disrupts the marketplace, stops people from driving and doing what they normally do. And that's a catastrophe, I mean, they get into that mode. So our experience is that it negatively impacts markets typically. But we are seeing volumes up, I mean, across the country, so I'm not sure so much that its weather or isn't weather. I just know that 2 fundamental things are happening right now, return are up and volumes are up.
Operator: And now we'll go to John Lovallo with Bank of America Merrill Lynch.
John Lovallo - BofA Merrill Lynch, Research Division: First question is for you, Will. The $20 million of other items that you identified in yard ops that weren't specifically called out in the release, can you give a little bit more color on those? I mean, are those items that you do not expect to repeat?
William E. Franklin: Yes, absolutely. So I mean, the large element of those costs is the additional subhaul. So we brought in subhaulers, I think about 550 subhaulers from as far away as Washington State to help us address the additional Sandy volume. We moved 300 people from the other parts of our company, including the U.K., into that area to help address the volume. We opened up 17 temporary facilities, over 350 acres and that was expensive land. And all those are well above the normal cost that you'd expect with processing these cars. And the way the accounting rules work is you can't put those costs up on the balance sheet, you had to flush it through as a period cost, and therefore you have this choppiness in reporting the results of these types of storms. So that's what led to the $11.9 million loss, the processing of these incremental cars.
John Lovallo - BofA Merrill Lynch, Research Division: Got you. So -- but then above and beyond that $11.9 million, did I misunderstand that there were about $20 million of other charges that you're speaking of?
William E. Franklin: They were included in that $11.9 million.
John Lovallo - BofA Merrill Lynch, Research Division: Included in the $11 million. Okay, great. And then if we look at the $1.8 million in SG&A from the ERP systems and the $1.4 million from the international operations, I know you said there's going to be some lumpiness, but from a modeling standpoint, I mean is that a reasonable run rate to kind of think of these items?
William E. Franklin: Well, we look at the IT and we break it on different components. And internally, we look at it in what we call keep the lights on. Keep the lights on is just -- is to run, provide services internally to run the auctions at our current level with our current international footprint. And based on those assumptions, we're going to spend about $8 million more this year than we would expect to spend in 2015. And we'll have some incremental costs in 2014 as well. Now when those costs will present themselves in the quarter is the problem we have in predicting because it depends on the nature of the activity that's taking place. Some of it's capitalizable and some of it's not. So those capitalizable doesn't have as large impact during that quarter.
John Lovallo - BofA Merrill Lynch, Research Division: Okay, that's very helpful. And if I could just finish up one with Jay. Jay, are you seeing any kind of trend in the industry with these kind of national insurance companies starting to lean more towards multiple vendors?
A. Jayson Adair: Starting to lean towards multiple vendors? They're already with multiple vendors. I mean you don't see -- if I can rephrase the question, we don't see a trend where people that are doing business nationally are splitting that with multiple vendors. The industry tends to be split where customers are doing business with multiple vendors. And occasionally, you will see an insurance company choose one supplier for all their business. But it's pretty rare. I mean, it's not something that happens on a frequent basis. We talked about it in the past. We've got well over 100 national contracts for supply but then a lot of those are very, very small insurance companies that are not multistate. They may just be doing business or I should say, not national. They may be just doing business in 2 or 3 states. And then some are very large, like Allstate Insurance where we handle all their cars. So I wouldn't say there's a trend either direction right now. But clearly, there's not a trend to go from national to multi-vendor.
Operator: And we'll now go to Scott Stember from Sidoti & Company.
Scott L. Stember - Sidoti & Company, LLC: Jay, you made comments about how the returns on the Sandy vehicles have been higher. Are you referring to traditional vehicles coming in? Or are you referring to versus Katrina?
A. Jayson Adair: No, no. I hadn't thought about it that way. It's a good question. Yes, I was referring to traditional salvaged vehicles that we process. These are -- most of these vehicles were not wrecked per se. They were flood-damaged and so they brought more money than traditional damaged vehicles. I was not referring to Katrina.
Scott L. Stember - Sidoti & Company, LLC: And that even considers the saltwater damage to the drivetrain and so forth?
A. Jayson Adair: Pardon me?
Scott L. Stember - Sidoti & Company, LLC: And that would even consider some of the water damage from saltwater?
A. Jayson Adair: How would I consider it?
Scott L. Stember - Sidoti & Company, LLC: No, no, that is also those comments that you were saying also, factors that in there you're saying?
A. Jayson Adair: Yes, I don't. I mean, we've sold saltwater-damaged cars a lot of times, Katrina was. So that's nothing new per se for us to sell product like that.
Scott L. Stember - Sidoti & Company, LLC: Okay. And on the share repurchases, obviously there was nothing that happened this quarter. Was that just a function of the acquisitions that you're -- been taking place and deciding to deploy the capital towards that and toward Sandy?
A. Jayson Adair: Yes, if you think about Will's comments, his opening remarks, without me getting to the details again, we've spent a lot of cash in the quarter. We finished the quarter with less than $50 million in cash. So we take a pretty conservative approach towards our balance sheet as most investors know at this point, so that was the reason.
Operator: And Bret Jordan with BB&T Capital Markets will have our next question.
Bret David Jordan - BB&T Capital Markets, Research Division: What was the total volume of Sandy cars that you wound up recovering and are in the process of processing? I think you've said at 21 days you're over 50,000 and your commentary was you saw over 50,000 in total, but was it materially over 50,000?
A. Jayson Adair: The way that you break out a vehicle as a Sandy loss, you try to do it based on date of loss. But there are a lot of vehicles that come in later, and so it's hard to determine. So we're comfortable it's over 50,000 cars. But we don't want to get into trying to narrow it down tighter than that.
Bret David Jordan - BB&T Capital Markets, Research Division: Okay. And I guess trying to read the commentary, the $0.06 negative impact from Sandy in the quarter with the expectation that the recovery in the current third quarter is going to offset the expenses, do you see Sandy net-net being a profitable experience? Or will the third quarter recovery still be less than the expenses attached to the second quarter?
A. Jayson Adair: We have historically said, and this hasn't changed, that we don't make money on these cats. And I think that's the case for everybody in the industry. When you end up having a cat, it's just not a -- it's not a pleasant experience.
Bret David Jordan - BB&T Capital Markets, Research Division: Okay, great. And then one last question. What percentage in the quarter was buyer fee versus the seller side of the transaction?
William E. Franklin: We've only disclosed previously that the buyer fees in North America are more than half. And that's consistent this quarter.
Operator: And next we'll go to Bill Armstrong from CL King & Associates.
William R. Armstrong - CL King & Associates, Inc., Research Division: I was wondering if you could break out the revenues that came from Brazil and Germany, since those are new markets for you for this quarter?
William E. Franklin: Yes, I don't know if we'll break them out by country going forward. It's [indiscernible] less than $5 million during the quarter.
William R. Armstrong - CL King & Associates, Inc., Research Division: Less than $5 million combined. Combined?
William E. Franklin: Combined. All international, excluding Canada and the U.K.
William R. Armstrong - CL King & Associates, Inc., Research Division: Okay. I think just maybe getting back to an earlier question as far as the kind of the returns of these Sandy cars bring. Earlier this morning, LKQ was saying that they weren't buying too many of them. They were basically saying they weren't worth very much because the mechanical and electronic parts gets fried in these saltwater catastrophes and basically, they don't have that much parts value. Now you guys and also Insurance Auto Auctions were saying that they're actually relatively high value. So I guess we're trying to reconcile those 2 perspectives?
A. Jayson Adair: Sure. I would say that they're, for the most part, you're going to have an older vehicles that gets flooded, you realize that, so it's not on every car, but for the most part, these cars are out of their price range. These are vehicles that are going to be highly desired by exporters. So the international community bid heavily on these vehicles. So yes, I mean I can't really comment on their statement, Bill, but I'd just tell you what we're seeing. This is stuff that is probably outside of -- the majority of them are outside of the demand for a dismantler/ buyer. There's going to be some vehicles there that dismantlers will buy. They're going to be older vehicles and they'll be in that range. But I would say the majority of these vehicles are outside of that range.
William E. Franklin: Yes, Bill, I just wanted to add, in addition to Jay's comments, that we did have an uplift in our international activity. So for the quarter, about 25% of the volume and over 30% of the value of everything we sold went to buyers registered outside the country.
William R. Armstrong - CL King & Associates, Inc., Research Division: Okay. And is it your understanding then that maybe a higher-than-usual percentage of those cars that are going to the international buyers are -- they're maybe just being repaired and then put on the road in those other countries? And that's why they're...
A. Jayson Adair: My guess would be they'll definitely repair them. When you're talking late model. If you're talking older stuff, then it's probably going to get parted out. A lot of these vehicles are going to be repairable, there's no question about that. And I'll just add that they're going to have -- we're selling them on salvage titles. They will be branded, so there's no question that they've been damaged. But to think that they're not repairable would be wrong. They are -- many of them are repairable.
Operator: [Operator Instructions] And our next question will come from Gary Prestopino from Barrington Research.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: Jay, could you possibly size the markets in Brazil in terms of units on an annual basis?
A. Jayson Adair: Yes, well, first of all, I'd say it's where between 100,000 and 200,000 vehicles. Second, I would say the majority of the Brazilian market is Sao Paulo. And then third, I would say, it's a monster market in terms of growth. That's the -- that was the reason for us going down there, it's a high-growth market. You're seeing an emerging middle-class that are buying vehicles. And the average selling price of vehicles down in Brazil is very, very high. They have some pretty aggressive import duty laws that are in effect. So the vehicles that are in Sao Paulo or in Brazil are vehicles that when they do get into an accident and sold, they're selling for a lot more than they would in the U.S. So really, for those 3 factors, there's some others, but those are really the 3 factors that got us excited. And as Will said, it takes us a few years to get into a market, to get our process in place, just like it did in the U.K. And so it's not the largest market right now but it's a high-growth market and it will become a very large market in the future.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: What about Germany?
A. Jayson Adair: Germany is a very mature markets. So it's kind of the opposite. It's not a high-growth market, but it's got 600,000, 700,000, somewhere in that range, total loss vehicles in that market, which is -- that gets our attention, I'll put it that way.
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: Is most of Germany done on -- what -- did it -- first of all, my understanding is they don't pool the cars in Germany, so that's why you have this -- you have a couple of online auctioneers that are working this market. Is that correct?
A. Jayson Adair: Yes, and we're one of them. That's -- our WOM model does that. What we will be doing in that -- we'll continue to use our product and innovate in that market with that product. But what we'll be doing is testing the market to see if there's a desire to not leave the vehicle with the insured, like we do in Australia, the U.S., Canada, the U.K., South Africa and Brazil. These are all markets where they're not pushing the vehicle to the insured. And in Germany as Will stated earlier, you end up being told this is the value of your car now. This is the value of the car before the wreck, and they pay the difference and let you keep the car. And assist you through that bidding platform in disposing of it. So the question is, is there a desire to strip that away completely and allow us to liquidate the vehicle and just pay the insured directly and then they don't have to deal with the buyer of the vehicle and disposing of it, et cetera?
Gary F. Prestopino - Barrington Research Associates, Inc., Research Division: And then in terms of the mobile app that you've got out there and you're talking about some of the uptake on that. Is there any way to delineate between existing members or auction users versus new? I guess the question is, are you bringing in a new participants through the mobile app, or is it just a shift between using a laptop or a desktop to do the auction versus the mobile application?
A. Jayson Adair: Yes, let me -- I'm just writing a note because -- let me gather that data for the next quarterly call. And when we have our next earnings release, I'll comment on a full quarter of mobile activity and talk about the impact of new members and give you some color on that. Because I don't have that in front of me. And I think that there'd be some good points to bring up on the new call.
Operator: Our next question will come from Craig Kennison from Robert W. Baird.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: Jay, with respect to Brazil and Germany, what sort of insurance relationships did you inherit when you moved there? And to what extent are you able to add to those relationships as you grow?
A. Jayson Adair: Well, with respect to Germany and Brazil, those acquisitions obviously got us into the marketplace and got us in with different -- different from each market. So in Brazil, I would say, we know everybody, because we ended up making such a large acquisition into the market. So we know all the insurance players in that market. In Germany, that's not the case but we're working to make that the case. So we got into that market through the acquisition of WOM. We got a number of clients and contacts and then we're working further to get to know everybody in that marketplace. And in one, we're just introducing our platform. In Brazil, we're just introducing our platform, our technology, our auction, everything Will mentioned. All those points that they want. In Brazil, we're talking about a real change in the way the marketplace would operate. And so we'll be introducing that at some point to see if there is a demand for our services in that market.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: That's helpful. And then as a follow-up, would you prioritize on your international growth plans, getting more density in Brazil and in Germany or opening up new footholds in other countries?
A. Jayson Adair: Well, what I'd like to see first is our technology implemented. And so before Overdrive comes to an end in 18 months, we'll be implementing our operating systems and our ERP and all the things that we've talked about. I'd like to get that done. I'd like to get the countries that we're doing business in, converted and then we can look at further expansion. We may make a little bit of further expansion internationally, so I don't want to make you think that we wouldn't do that. But we don't want to get really spread out and into another 10 countries, as an example, until we've got our existing company implemented with our tech.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: And finally, Will, could you comment on your expectations for CapEx this year?
William E. Franklin: No, I mean there's so much uncertainty that surrounds our CapEx spend, Craig. I mean, like we've looked at yards in Los Angeles or Southern California for years and years, haven't been able to find one. But if we did find one, we would be spending $25 million to obtain that. But there's no way we can predict that. So it's difficult for us because of the uncertainty and the nature of these negotiations to determine when we'll be actually spending money.
Operator: And that does conclude our question-and-answer session at this time. I'd like to turn the conference back over for Mr. Adair for any additional or closing remarks.
A. Jayson Adair: That's great. Thanks, Melissa. Yes, we appreciate it guys. Great questions. I appreciate you coming to the call. We look forward to reporting the following quarter. And as we said, we'll get some information on mobile bidding for that call and vehicles sold and new members, et cetera. So again, thank you for attending the call, and we appreciate it.
Operator: That does conclude our conference for today. Thank you for your participation. You may now disconnect.